Company Representatives: Jeff Lawson - Co-Founder and Chief Executive Officer George Hu - Chief Operating Officer Khozema Shipchandler - Chief Financial Officer Andrew Zilli - Vice President, Investor Relations and Treasury
Operator: Good day, and thank you for standing by. Welcome to Twilio's Q1 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to Andrew Zilli, Vice President of Investor Relations and Treasury. Sir, please go ahead.
Andrew Zilli: Thanks Lee. Good afternoon everyone and thank you for joining us for Twilio's first quarter 2021 earnings conference call. In an effort to make our call more efficient, we are using a new approach today by posting our prepared remarks on our IR website and using today's call for Q&A only. In addition to our prepared remarks, our earnings press release, SEC filings and a replay of today's call can be found on our IR website at investors.twilio.com. Joining me today for Q&A are Jeff Lawson, Co-Founder and CEO; George Hu, COO; and Khozema Shipchandler, CFO. As a reminder, some of our commentary today may be in non-GAAP terms. Reconciliations between our GAAP and non-GAAP results and guidance can be found in our earnings press release. Additionally, some of our discussion and responses may contain forward-looking statements, which are subject to risks, uncertainties and assumptions. In particular, our expected business benefits and financial impacts from the Segment and ValueFirst acquisition, and the Syniverse partnership, including the associated transactions, our expectations around the impact of the COVID-19 pandemic on our business, results of operations and financial condition and that of our customers and partners is subject to change, and our ability to manage changes in network service provider fees that we pay in connection with the delivery of communications on our platform and the impact of those fees on our gross margin are subject to change. Should any of these risks materialize or should our assumptions prove to be incorrect, actual financial results could differ materially from our projections or those implied by these forward-looking statements. A description of these risks, uncertainties and assumptions and other factors that could affect our financial results are included in our SEC filings, including our most recent report on Form 10-K, and subsequent reports on Form 10-Q. And our remarks too during today's discussion should be considered to incorporate this information by reference. Forward-looking statements represent our beliefs and assumptions only as of the date such statements are made. We undertake no obligation to update any forward-looking statements made during this call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events, except as required by law. With that, I'll hand it over to Jeff for a brief statement and then we’ll open the call for Q&A.
Jeff Lawson: Thank you, Zilli. Before going into Q&A I wanted to acknowledge that over the past year fighting COVID-19, each country and region has had good times and bad times. While many places are trending well and we feel like we hope we can see the light at the end of the tunnel, the response to COVID-19 is of course not over and the tragedy of this pandemic remains an evolving situation even on a global level. So I wanted to take a moment to share my heartfelt sorrow and support for our colleagues, friends and families in India who we know are fighting a tremendous outbreak. Along with our colleagues, friends and family in Brazil, Colombia, Mexico and to remind you that this pandemic is not over, and will not be over until every country, every city, every community in the world is [through it] (ph). We are truly in this pandemic together as a global community. Twilio has created several programs to help communities in the hardest hit regions providing additional matching funds to organizations such as Aid India COVID-19 release program, Give2Asia and Direct Relief. It is more important than ever to help every country combat this pandemic and we hope that these efforts will help provide funds towards that cause and I invite everybody listening today to pitch in your support as you can. Thank you. Now, let's open the call for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Meta Marshall from Morgan Stanley. Your line is now open.
Meta Marshall: Great. Thanks for the question and congrats on the quarter. Maybe a higher level question. I wanted to get a sense of what your customer conversations are like. I imagine a year ago it was help me get through the next two weeks, to maybe six months ago it was like help me get through COVID, to now people are really starting to embrace digital transformation and think longer term. But just you know, is that something that we just hypothesized or you're actually seeing in customer conversations and how does Segment change that conversation? Thanks.
George Hu: Hi. This is George. Why don’t I start? We absolutely are continuing to see the conversations around digital transformation, digital acceleration, you know what we've talked to, what I've talked to a lot of customers about is now that they see kind of end of the pandemic in sight, they are not foreseeing that digital is going away for them. That they’ve seen a lot of the transitions that have happened to digital, whether it’s telemedicine or you know digital relationships and financial services are going to continue. And so they are looking for us to be strategic partners to help them move to the New World and with technologies like conversations and flex and other things that we've been working on. In terms of Segment, the people are very excited about it. I've had to come up in probably you know more than two-thirds of the calls that I’ve been on with customer in the last 90 days, we’ve talked about Segment and the opportunity there. I think people are very excited about the idea of delivering much more personalized engagement and the idea of Segment as a foundational component to that is very interesting to all customers. So we're excited about that and the opportunity for us going forward on that front as well.
Meta Marshall: Great. Thanks.
Operator: Thank you. And your next question comes from the line of Samad Samana from Jefferies. Your line is now open.
Samad Samana: Great, thanks for taking my questions and congrats on the strong quarter. Maybe the first on the enterprise sales hiring side. You know I saw in the prepared remarks that the company has caught up, but maybe how should we think about the hiring from here and how the productivity ramp looks for the new direct – those enterprise sales rep hires?
George Hu: Yeah, we are absolutely on track with our sales hiring. We continue to invest in capacity to match the – frankly the incredible opportunity that we see in front of us. And in terms of the productivity that has continued to be strong and the ramp times are consistent. So we haven't really seen a significant shift as we added capacity, which is – I think this really speaks to the demand out there and the size of the opportunity.
Samad Samana: Great. And then maybe just a follow up on the decision to split the R&D organization that was discussed and how we should think about that impacting the innovation cycle going forward?
Jeff Lawson: Yeah, thanks for the question Samad. This is Jeff, I'll take that one. So we’ve got a very broad set of products and very broad customer base all around the world. And so we thought the way to best serve the broad set of customers and the broad set of products was to break it up into three units; so our Twilio Core Communications Platform, our Data Platform and our Core Platform. And we've got great leaders for a lot of these things and you could see a lot of synergies between like all the things we are doing in communications, which is the core business, a lot of things we are doing with data and people from Segment to lead the data team. And on a core platform it’s sort of how we build internally and all the platforms that support the growth of all our engineering units. And so by dividing and conquering, we think we can actually tackle more to continue our track record and innovation, and continue to serve our customers at scale. So I'm really appreciative of Chee and everything he’s brought to the company and looking forward to building the next great set of products with the great set of leaders we have, and the ones we are going to hire.
Samad Samana: Great. And just as an aside, we love the new reporting structure. It allows us to spend more quality time with the management team rather than listen to you guys read the script to us. So I really appreciate that, and appreciate the additional time with you all.
Jeff Lawson: Fantastic.
Operator: Thank you. Your next question comes from the line of Fred Havemeyer from Macquarie. Your line is now open.
Fred Havemeyer: Thank you very much for the time here. You know I'm interested in some of the acquisitions and investments that you previously have been making, including Syniverse and ValueFirst. Can you help us understand how these acquisitions, investments and partnerships could help your overall cost structure, both domestically and internationally? And secondly on this topic, can you tell us about how these investments could benefit your customers across areas such as pricing and also reliability of services.
Khozema Shipchandler: That’s a good question. This is Khozema. I’ll start. So I think from a cost structure perspective, obviously having a local presence in markets and being able to do some consolidation within our supply chain is always going to yield some cost synergies and so we definitely have an eye on that in terms of some of the ways that we're looking at it. I think beyond that, if you look at some of the more recent things, like whether it's in Mexico or whether it's in India that also gives us an enhanced geographic footprint. So it allows us you know to better see consumer demands in some of those markets as well. And then from a pricing perspective, I mean I wouldn't say there's a big change in pricing relative to M&A. You know M&A obviously remains a competitive pricing landscape, but I think we feel good about the way that we're positioned and I think this allows us to continue to geographically expand.
Fred Havemeyer: Great. Thank you.
Operator: Thank you. Your next question comes from the line of Brent Bracelin from Piper Sandler. Your line is now open.
Brent Bracelin: Thank you and I’ll echo comments appreciating you on your new format. It’s super-efficient and super helpful. Maybe Jeff, I'll start with you. We are six months now into the Twilio Segment kind of combination here. My question for you, what are you most excited about and most pleased with during the first six months of the integration here and then I know it's early, but we're seeing some interesting personalized messages come out, some interesting Flex Segment integrations. And then secondly, what are you most excited about, now that you know what you own here, looking out over the next couple years?
Jeff Lawson: Yeah, thank you for the question. Well, first of all the nuts and bolts of integration are hard, but they are going really well. Been really pleased by just the great cultural [indiscernible] we can really weld together and the teams can see the opportunity and see the way we approach customers in the market that we serve in, like see those things really well aligned. And so super happy with Peter, the leadership team at Segment and all the folks who joined Twilio with that acquisition. But talking about the opportunity ahead, look, I think we are seeing this come up in so many conversations with customers that you know maybe in the past before we had Segment as part of our portfolio, we wouldn't have organically come up, but now that Segment is here, we’re really seeing that become a major part of the conversation we're having with customers, because every company that I talk to seems to be struggling with like, how do I build this one picture of my customer based on data that is spread across all these different, not just systems they have and they have that problem, they’ve got a separate system for marketing and a separate system for the contact center and a separate system for commerce, but also across business units. Like in an acquisition here we got to integrate their view of the customer, and we've got these different structures inside the company and they all use different systems. And so this question of how do you actually build that profile of your customer, how do you understand your customer. The story that is being told by all the data that customers are giving up, like how they use your website, how they use your mobile apps, what things they bought, what things they’ve returned, etc., that story is resonating with customers because they all see that problem but then not just how do you make sense of that data, how do you act on, and that’s where Twilio comes in. How do you actually build really engaging communications, whether it’s marketing, during your sales process, during your support or in product, how do you tailor and make all that stuff dynamically personalized to every single customer to optimize their chances of becoming a repeat buyer, becoming a loyal customer of yours, and that's something we see so many companies wanting to do, struggling to do and looking to us to help them to do. And so when I look forward to what we're going to build with Segment, I see a tremendous surface area across pretty much every industry to help them solve this problem.
Brent Bracelin: Interesting, big problem, but certainly the opportunity. Khozema one quick one for you; AT&T and T-Mobile joined the price increase party that I think Verizon kicked off last year. How should we kind of think about the framework around what type of growth rate that could have an influence here on Q2? It looks like the guide did not include any sort of impact on that price increase. You have two carriers, instead of one raising prices. So just trying to think through how should we think about that impact in Q2 or should we just wait a quarter and wait until we see actually what happens. Just curious to hear your thoughts and guidance here on that price increase.
Khozema Shipchandler: Yeah, I mean we left it out of the guide on purpose, just so that it wouldn’t be that confusing and we wouldn’t have to deal with all the kind of puts and takes. So you should look at the guide as being clean and excluding those impacts. I would say, you should largely expect them to be kind of in the ballpark is what we saw previously with Verizon, but we’ll provide a lot more detail on that when we do the Q2 call and we’ll give you the exact numbers at that time.
Brent Bracelin: Got it. Makes sense, thank you.
Operator: Thank. Your next question comes from the line of Alex Zukin from Wolfe. Your line is now open.
Alex Zukin: Yeah, [inaudible] I’m going to – you know instead of asking my typical dollar-based net expansion question to Khozema I'll do just two very big-picture product questions. Jeff, maybe just for you first. If we take a step back and just zoom out and we look at the components of your business, you're now getting into a point where you're able to do – you know potentially intelligent messaging solutions where you can effectively have a customer send a message when a certain action takes place like a cart is left abandoned. And that, the value added component of that message for that customer is a lot higher than potentially some others. So I guess the question is, are you able to now start thinking about different pricing or different unit economics, depending on the type of message that you're helping a customer deliver?
Jeff Lawson: Thanks Alex. You know I think there is like two ways of thinking about that. One is our role as a platform, and as a platform you support many different use cases. And even within things like messaging, you know there's different use cases for messaging and in fact different messages may have different performance characteristics. Some customers might value speed of delivery, while others might value things like bulk deliveries. And so this way of thinking about have your Segment in the product itself at the platform there. And then there is ways of saying, okay, but in order to actually do a specific use case, you often have software that's powering a use case or integration. To use the example, you had integration into shopping carts, and the business logic of that integration and the business logic of that intelligence is in many ways a different value proposition from the platform itself. And so as you see what we're doing with for example, Flex, that's what we're building. We're building that – you know the value proposition of a contact center on top of the [indiscernible] and you see that with our marketing campaigns product as well. And so I think when you think about our core communications platform, you get the sense of the economics are tied to the underlying capabilities of the platform. And then when you look at the engagement platform that sits above it, the economics are more closely tied to the value proposition that we're creating with the software. But I also think that part of Twilio's unique value proposition is to build a product and a go-to-market that really closely aligns how our customers use our products with what they have, and I think that's a key competitive differentiation, which is a little different than traditional solution selling, which is you're trying to extract full value. I think as a platform play you still need white space for customers to go paint in to make it theirs and that's what they value. They want to build on top of their platform. And as a result of that, we give them that flexibility and that enables them to get outcomes that they can't get with any other vendor. That also enables developers to continue to be our biggest champions inside of these accounts and I think those are important things for us to continue to consider.
Alex Zukin: That makes perfect sense. And then another again kind of big picture question, if you think about the rise of IDFA, the demise of – potential demise of third party cookies, it's our thesis that we're entering the world where the notion of CDP for first-party data is going to rapidly accelerate in strategic performance. You guys mentioned – I think George you mentioned that Segment is now in two thirds or was in two thirds of your customer conversations. I guess a couple of angles around this question. Is this something – is this future world something you contemplated when making that acquisition? Are you, you know just now reaping even greater amount of strategic benefit? Just talk to us about how you think about segments in this new world, both integrated with the rest of your solutions as part of the platform, but also on a stand-alone basis with respect to Strategic impact to all these things.
Jeff Lawson: This is Jeff. I'll answer, unless George, you want to?
George Hu: Go ahead, Jeff. I'll chime in.
Jeff Lawson: Well, I'll give my point of view and I'll let George give his point of view. You know collaboration is the answer and is harder in this virtual world. My point of view is yes, you know we did think about the importance of first party data and how every company is having to become great digital marketers and great digital executors, and you can't necessarily rely on some of the, let's say, sloppier ways of acquiring and re-engaging your customers when you've got a lot of third party data floating around that. So we did believe – we do believe that the CDP market in and of itself as a standalone becomes ever more important to companies, not just because of the plurality of systems you have to figure out how to make sense of, but also because outside their walls it's getting more complex to actually target and reach your own customers. So it becomes even more important that once you meet a customer, so there's your marketing and they buy something or whatever it is, you do a really good job of continually engaging them, because going back out to kind of reacquire that customer is getting harder and harder and harder. And so companies have to treat their existing customers incredibly well, and those relationships are getting even more valuable. And then you add in all the value of – and then integrating that and creating that journey that's going to achieve that using Twilio's customer engagement cloud, that is the next level of benefit on top of the core CDP.
George Hu: Yeah, I think you know Jeff said it really, really well. And I would say we're having you know certainly a lot of these conversations that I'm talking about are largely customers. A lot of customers are learning about more acquisition, interested in our strategy and we’re having the broad conversation. But you know we're definitely seeing interest on both fronts of both the stand-alone CDP conversation, as well as the potential for intelligent engagement that's built when you have the customer data and all the engagement channels together. So I think there is potential both stand alone and integrated and I think that's one of the things that we're excited to continue to build on going forward.
Alex Zukin: Alright. Congrats. Just amazing execution as always.
Jeff Lawson: Thank you.
Operator: Thank you. Your next question comes from the line of Derrick Wood from Cowen. Your line is now open.
Derrick Wood: Hi. Thanks for taking my questions and congrats on a great quarter. We get a lot of questions from investors on how to think about consumption growth trends across various use cases as the economy opens up. So Jeff, is it great to hear what you're seeing you know from the COVID impact of use cases and travel hospitality, ride-sharing and then get a sense of you know with the opening of the economy, you know how that impacts some of the use cases that got catalyzed from COVID. So really just trying to get an understanding of how those net out as we navigate through the opening of the economy and maybe put that in context with you know how you guys guided for Q2, which assumes flat at $10 million in sequential revenue.
Jeff Lawson: Absolutely. Okay, I'll answer that. So the – what I would say is, like you got this usage pattern and so you’ve got two categories, like roll the clock back to a year ago. We have a category of digitization of lots of interactions. That was really the path that society was on and every industry was on because of the digital transformation, like the big secular trend and those got accelerated. And so a lot of the things we're seeing like you know what's going on in the workforce between ordering online and picking up in the store and things like that are getting far more use now that they would have before or telemedicine. You know I saw a huge acceleration of adoption of telemedicine and those workflows have provided consumers in a lot of cases like a much more convenient path and we did things with these organizations whether it was you know healthcare, then telemedicine or retailers doing really good online order pickup type work flows. You know these are things that were on their path, anyway just got accelerated. Because I think what we're seeing is a re-training like of consumers to expect new types of experiences and those are going to continue with the competitive dynamics of keeping those features and making them better or making them more easier. I think those are going to continue. Then we've got the category of industries that were negatively impacted by COVID, so travel, hospitality, things like that and those obviously saw a decline in the usage in 2020 and now I think we're starting to see the signs of the recovery of those industries and we find all the headlines you know talking about people returning to travel, they are getting vaccinated and how hard it is to get a rental car and how airplanes are not full and so as we see the return of those industries, you know I think that we will continue to see you know the bulk of the churn of volume and usage, but also the use cases, because many of those industries have to now go build trust with their consumers and say, “Hey, you know it’s safe to do these things again” and “Hey, trust us as the brand you're going to return to” as you start doing things like travel and even out whatever it is” So we're seeing not just the return of the old use cases, but I think also new engagement strategies that these companies have in order to build trust and loyalty in their customer basis that in many ways they have to kind of reengage with a reacquire.
Derrick Wood: Yeah, I guess maybe that’s right to present on the revenue guidance. I’ve gotten some questions on you know just if you look at the sequentials, it's flat to slightly up. Historically, you've seen some good sequential seasonality in Q2. I know you may have conservatism in there, but any other puts and takes to call out for Q2.
Khozema Shipchandler: Yeah, I mean let me just add to what Jeff said and then I'll directly take your question. So I would say, in general what our guidance contemplates is sort of a world without COVID in a way, I mean not withstanding what Jeff said at the outset of the call. I mean obviously there's a lot going on globally and I certainly don't want to take anything away from that and the impact that that's having on people. But generally speaking, the way that we're looking at things is as if COVID is starting to wane and we see durability and some of the positive impact to the industry as we see recovery in some of the negatively impact to the industries and so in general, I think you know as we start to think about a world post-COVID, we just see a lot of general strength in the business very kind of broadly diversified across industries and GOs and company shapes and sizes. As it relates to Q2 specifically, I mean we feel good about the guide. I mean obviously we're still up in the quarter based on the guide 47% to 50%. The world is a very, very complicated place right now. You know there's a lot of moving pieces and so I think we'll wait and see how things exactly play out, but we feel good about you know the way that we guided, the way that things are positioned and we feel great about the long term prospects for the business and you know certainly in the short and medium term.
Derrick Wood: Right, yes 50% growth, pretty amazing. So congrats again and thanks a lot.
Jeff Lawson: Thanks Derrick.
Operator: Thank you. Moving on, your next question comes from Ryan MacWilliams. Your line is now open.
Ryan MacWilliams: Thank you. I’d like to ask the question and I think you [inaudible] cloud based expansion questions, but knowing that this metric can fluctuate, especially with the things that will compare year-over-year, but anything to comment on here with the things in the quarter and maybe any read-throughs in the following quarters as well. Thanks.
Jeff Lawson: Yeah, you certainly hit one of the nails on the head. I mean I would say in general, like 133%, like DBNE is still really, really strong. So whether you look at it on a year-over-year basis or you look at it on a sequential basis, maybe I'll start with the latter. So on a sequential basis you obviously don't have like the political dynamic, right. We’re in non-election year and so that's going to direct it down a little bit. And then we've also locked the right to carrier fees and so one year away from that, you know that's going to have a little bit of impact as well. And then really the third dynamic is what you said a moment ago in terms of same grid. So I would say on kind of a normalized basis, you know you might think about 130’s, but I mean we feel great about the printed number, 133% and we’re really, really happy with the way that our expansion rates been going.
Ryan MacWilliams: Thanks and just from my perspective, it’s great to see how Twilio helps supports global vaccine distribution. But you know from a financial perceptive, I’ve just been wondering, could vaccine distribution delivery materially impact results along the quarter.
Khozema Shipchandler: I wouldn't say it impacted our financials materially. You know as I said a moment ago, like I think we're really looking at the world both in terms of our Q1 print, as well as the way that we guided into Q2 based on a world in which you know COVID is sort of a thing that's starting to wane a little bit and we just see broad based things across the business and any one use case is relatively diminished.
Ryan MacWilliams: I appreciate your time. Thank you.
Jeff Lawson: Thanks.
Operator: Thank you. We have a follow-up question. Your next question comes from Michael Turrin from Wells Fargo Securities. Your line is now open.
Michael Turrin: Hey there. Thanks everyone, I appreciate you taking the questions. George at the Deloitte Hackathon you mentioned in the materials stood out as interesting. I’m wondering if you could talk more about what events like that could maybe open up and how they can help with the push of the targeted verticals, specifically healthcare seems interesting there, but anything you can add around context is helpful.
George Hu: Yeah, thanks for the question. We’ve had a hackathon program now that we've used successfully in the enterprise area directly with customers and now we're just trying to do that with our partners. You know obviously when you're building momentum with a large systems integrator, a lot of what you need to do is first of all get people internally just aware. You know these are not simple entities or complex entities and lots of groups and it's just kind of evangelizing internally you know the power of Twilio and the Twilio message is really important. So bringing these hackathons we find is generally speaking a really good way to extend our reach, especially among the developers and the thought leaders within an organization, whether it's a customer or as I like at Deloitte, so we're excited about that. But also you know a lot of the time these hackathons also yield really interesting IP or the beginnings of interesting IP and whether it’s on the customer side or on a partner side and with an entity like Deloitte the opportunity to create vertical IP I think is very, very interesting, especially around such round flex, which is a big focal point for a lot of our SI discussions. So you know well, it remains to be seen obviously how all these things play out. There's usually a pretty significant path between a hackathon and obviously real IP, but you know we’re excited about the opportunity, whether it's with Deloitte or with others to go down this path, repeat path, continue to evangelize, get the fly wheel going and continues to do more work with them. I’ve been really, really excited about the potential of this partnership. We're seeing some traction already and this is just another – you know kind of another brick on the path to – on the path to building a really successful long term enterprise playbook.
Michael Turrin: Yeah, makes a lot of sense. Just quick for Khozema. Can we go back to ValueFirst for just a moment? I'd just be curious if there's more you can add on what that adds internationally. I know that's been one of a few focus areas. And then anything you can add on any contribution? I don't know what the timing specifically looks like, but any contribution you saw or expect to see is helpful.
Khozema Shipchandler: Yeah, just to take the latter part of the question first, very de minimis contribution in the current quarter, and it'll be relatively a de minimis contribution going forward as well. So we're not necessarily calling it out. I mean I would say ValueFirst kind of fits into one of the questions that was asked earlier in terms of just broader trends that we're seeing in supply chain. I mean when we see a unique asset that we think on the one hand gives us a particularly interesting entry into a GO and it's not limited to India obviously, although India is obviously a huge consumer market, but I'd throw Mexico into the same category, which is why we did the deal there, too. But India, Mexico, large consumer markets, opportunity for some cost capabilities, and then you know with these acquisitions we always get awesome local teams. And so it's really just a combination of those things. But from a financial perspective, I think this is like an add to the portfolio but nothing that you should really think about in terms of having an outsized impact on our financials at all.
Michael Turrin: Helpful. Keep up the pace. Thanks. Thanks everyone.
Khozema Shipchandler: Thanks.
Operator: Thank you. Your next question is from Mark Murphy from J.P. Morgan. Your line is open.
Pinjalim Bora: Oh hey. This is Pinjalim on behalf of Mark. Congrats on the quarter guys. Jeff, a high level question again for you. So on the product strategy point of view, how do you think about kind of accelerating the usage of Twilio core communications by developers, just the usage of that? Do you think like serverless or function, is an important strategy to drive speed to market for developers or maybe the studio's way to go to democratize the usage beyond developers or now that you have Segment, maybe you can actually tap into a broader and good customer engagement solution? Would love to hear your thoughts around that?
Jeff Lawson: Absolutely. So first of all I'll say, we're really pleased with the adoption of Twilio and all of our products by developers and I think that's going very well. Developers continue to pull us into the wide variety of opportunities at every kind of company that you see us posting up as new customers. As far as smoothing out, I don't necessarily draw a straight line between like low-code/no-code and like getting more developers or more accounts on the platform. I think low-code/no-code are tools and when the problem we have fits well into [Audio Gap]
George Hu: Hey, guys it seems like – this is George. Seems like there might be a problem with Jeff's line. So obviously I can't completely anticipate his train of thought there. But certainly you know…
Jeff Lawson: Can you hear me? Can you hear me now?
George Hu: Oh, you're back. Perfect. Thanks.
Jeff Lawson: Yeah. Zilli says my phone is connected to my car and that is exactly what happened because someone just thought to go pick up my kids and turned on the car, so fantastic. Good to know that that's a way earnings calls can fail. So back to what I was saying, I don't know where I lost you, but essentially low-code/no-code is a tool that if that tool allows you to build your use case faster, more reliably because it's hosted for you and you have to position on infrastructure, then developers will use it as do [Inaudible] called system developers, but it's the right tool for the right job. I mean we've seen a lot of uptake of Studio for certain types of workflows and other things that are more client side and more deeply embedded, may not be the right tool, but we are definitely committed to this road map of using low-code/no-code and what I call yellow code, each for the right thing that enables the developers and the various participants of the company to do the task that they need to do. And by the way that includes taking things like Flex, which really accelerate our customers time to deploy these solutions, but then still give them the flexibility to go invoke functions or use Studio to build that IVR or build that chatbot flow and plug it into this right spot. And so I would say, I think we're using low-code/no-code effectively today. And we've got a matching road map for how we can continue to unlock more and more use cases and more and more customers to be using that, but we are very happy with the adoption that the developers are already doing on Twilio across those solutions, including a lot of them who aren't using no-code because they are writing code the old way.
Pinjalim Bora: Understood. Thank you.
Andrew Zilli: Great. And that will do it for today's call. So I really appreciate everybody joining today and look forward to catching up with you throughout the rest of the quarter.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.